Operator: Ladies and gentlemen, thank you for standing by, and welcome to Skillsoft Second Quarter Fiscal 2022 Results Conference Call. [Operator Instructions]
 I would now like to hand the conference over to your first speaker today, Jim Gruskin, Interim Head of Investor Relations. Thank you. Please go ahead. 
James Gruskin: Good afternoon, and welcome to Skillsoft Second Quarter Fiscal 2022 Earnings Call. We will be discussing the results announced in our press release issued after the market closed today. With me are Skillsoft CEO, Jeff Tarr; and Interim CFO, Ryan Murray. 
 Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition and our guidance for fiscal 2022. They can be identified by words such as expect, anticipate, intend, plan, believe, seek or will. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements.
 Statements as to market share, industry data and our market position are based on data generated internally by the company. While we are not aware of any misstatements regarding market position or industry data discussed on today's call, our estimates involve risks and uncertainties and are subject to change based on various factors. Forward-looking statements by their nature address matters that are subject to risks and uncertainties that could cause actual results to differ materially expectations. 
 For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks described in today's press release, our quarterly report on Form 10-Q for the 3 months ended July 31, 2021, to be filed with the Securities and Exchange Commission and our other periodic filings with the SEC. 
 During the call, we will also discuss certain non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. 
 Now a few comments on the required GAAP presentation of Skillsoft's financial statements following the merger and leaseback on June 11. GAAP requires accounting periods before and after June 11 to be separated into predecessor and successor periods to reflect the change in ownership and lack of comparability between periods due to different ownership and investment basis. In addition, Global Knowledge activity is only reflected in the GAAP financial statements after June 11. References on this call to combined GAAP results reflect a combination of the predecessor period before June 11 that excludes Global Knowledge with the successor period after June 11.
 For all non-GAAP measures in the supplemental materials filed with the SEC today and in today's commentary, the company is providing normalized results as if Skillsoft and Global Knowledge have been combined for all periods presented, which we believe is useful to investors to show the trends of the go-forward company. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures as well as how we define these metrics and other metrics is included in our earnings press release, which has been furnished to the SEC and is also available on our website at www.skillsoft.com.
 With that, I will turn the call over to Jeff. 
Jeffrey Tarr: Thanks, Jim, and thanks to all who have joined our first earnings call as the new Skillsoft. Our vision is to be the most highly valued provider of learning solutions, preparing the workforce of today with the skills for tomorrow. When we say valuable, we mean to our customers, our learners, our communities, our team members and our shareholders. Importantly, we believe that the most highly valued provider of learning solutions serving the world's workforce will be built on great technology and will deliver its solutions primarily online. 
 We are proud to operate the largest corporate digital learning business in the world with more than $600 million in digital learning revenue from more than 5,000 enterprise customers. We are also the most profitable. To be the most valuable, we must also deliver growth. I'm pleased to report that this quarter, we exceeded our expectations and grew bookings by 18% with strong performance in all 3 of our business segments. The Skillsoft Content segment, which includes our Percipio learning experience platform, was up 9%. Global Knowledge was up 30%. These segments on a combined basis were up 19%, and our SumTotal segment was up 15%. Each part of the business also delivered major blue-chip customer wins during the quarter.
 In addition to our strong bookings growth, we achieved a number of key milestones this quarter. We began trading on the New York Stock Exchange. We established a healthy balance sheet with the benefit of a strategic investment from Prosus, one of the world's largest technology investors. We refined and reduced our debt, eliminating $25 million in annual cash interest expense. We appointed a world-class Board of Directors with decades of relevant experience from the highest levels of industry, academia and government. We seeded a new management team that is already executing well against our targets and announced a new CFO and SVP of Investor Relations, who will be joining us soon. And we completed the acquisition of Pluma, adding a fast-growing digital coaching platform to our portfolio.
 Notably, we accomplished all of this while significantly advancing our integration with Global Knowledge. This speaks to the dedication of our team members and to what we can accomplish as the new Skillsoft. 
 For those who are new to Skillsoft, I'd like to provide a brief overview of the market opportunity and the company and share our growth strategy. I'll then hand it over to Ryan to walk you through the numbers in greater detail. And I'll close with an update on our guidance before we open the call for questions. 
 We believe the new Skillsoft is the global leader in corporate digital learning. We serve an estimated $28 billion total addressable market growing at approximately 10% annually. The growth is being driven by an increasing skills gap and the transition from a classroom-first approach to corporate learning to a digital-first approach that has been accelerated by COVID and work from home. 
 According to the OECD, technology will radically transform 1.1 billion jobs by 2030. According to McKinsey, 87% of companies worldwide either currently have skills gaps or believe they will within the next few years. And core skills are changing at an unprecedented pace. Reskilling, the war for talent and the great resignation have all become C-suite topics.
 With approximately 70% of the Fortune 1000 as our customers, we believe Skillsoft is ideally positioned to prepare today's workforce for the jobs of tomorrow. Not only is Skillsoft the largest provider of digital learning solutions to enterprise customers, but we are also the only player that operates at scale in the 3 largest categories of corporate digital learning: leadership and business skills, tech and dev and compliance. We are #1 or #2 in each of these categories, which collectively represent approximately 80% of the addressable market. And we're #1 in corporate digital learning revenue overall. 
 By playing in all 3 categories, we are uniquely positioned as a one-stop shop for a wide range of corporate digital learning needs. Importantly, the breadth of our offerings drives higher dollar retention rates. We find that when a customer buys all 3 categories, we get a 21 percentage point lift in retention compared to when they buy one. Currently, 45% of our annual recurring revenue, or ARR, comes from customers that buy all 3 products. And as we cross-sell to the remaining 55% and add new offerings like Global Knowledge and Pluma, we expect to drive both new revenue growth and higher retention rates. 
 We deliver our proprietary and third-party content through 2 modern best-in-class SaaS software platforms: Percipio, a leading learning experience platform, or LXP; and SumTotal, a leading learning management system, or LMS.  Percipio is an advanced immersive AI-driven SaaS-based LXP. SumTotal is focused on meeting the learning and talent development needs of highly regulated industries via SaaS and on-premise deployments. 
 In addition to selling our solutions to approximately 70% of the Fortune 1000, we serve governments and small businesses, all through a roughly 600-person go-to-market organization. By virtue of our scale, we reached 45 million learners globally. Our enterprise customer relationships, large number of learners and go-to-market organization are important competitive advantages and provide a strong foundation for future growth.
 We also have an incredible opportunity to create value for our shareholders. We're starting with a strong foundation and an attractive SaaS business model with enterprise subscriptions, high operating leverage, low capital intensity and strong free cash flow conversion. And with investments in content, platform and go-to-market, we've put the business on an improved growth trajectory.
 As I mentioned, our vision is to be the most highly valued provider of learning solutions, preparing the workforce of today with the skills for tomorrow. Our strategy to realize this bold vision rests on 6 key pillars: content leadership, platform leadership, go-to-market leadership, operational excellence, disciplined M&A and our culture of leadership and learning. Let me spend a few minutes today on the 3 key drivers of our organic growth: content leadership, platform leadership and go-to-market leadership. 
 First, content leadership. Content is an important competitive advantage. Skillsoft is a leading content creator, and this differentiates us in the industry. Our content is designed for the way people learn online, using a micro-learning approach where 140,000 short videos, usually a few minutes in length, are strung together and interspersed with assessments and badges, forming more than 14,000 courses and nearly 80 Aspire learning journeys.
 We currently offer over 180,000 content assets, and 30% of our catalog consists of our own original content. Our proprietary content is developed using a neuroscience-based approach validated by MIT. It drives 90% of our usage and has been substantially refreshed over the last 4 years with more than $100 million of investment. And as a result of our Global Knowledge acquisition, we have substantially strengthened our position in tech and dev, adding the largest catalog of mission-critical authorized content through our partnerships with the world's largest technology companies. We believe no one has prepared more IT professionals for certification than us.
 This quarter, we launched updated diversity, equity and inclusion and customer service courses that collectively generate a Net Promoter Score of 60, underscoring the high quality of our refreshed content. We also closed the acquisition of Pluma, which brings a disruptive and robust personalized executive coaching offering to our customers. Coaching is highly valued by current and future leaders and their employers and is a powerful tool for both professional development and employee retention.
 Historically, coaching has only been available to a small number of executives due to its high cost, often tens of thousands of dollars. Pluma has democratized access to this valuable opportunity by offering impactful coaching sessions over an engaging digital platform at a fraction of that cost. Pluma is indicative of the growth-oriented bolt-on acquisitions we seek to complete on a regular basis. 
 Turning to our second pillar, platform leadership. We've been focused on accelerating the migration of customers from the legacy Skillport to our Percipio learning experience platform. As of the end of second quarter, 81% of our ARR base for the Skillsoft Content business was generated from customers on Percipio or Percipio dual deployment, up from 62% at the end of Q2 last year. Percipio bookings were up 47% and dual deployment bookings were up 19%, highlighting customer adoption of the platform. We believe we are on track to have migrated 90% of our revenue base by the end of the fiscal year, consistent with our plan. 
 On average, over the last 4 quarters, the combined dollar retention rate for Percipio and dual deployment customers has exceeded that of the legacy Skillport platform by 23 percentage points. In the second fiscal quarter, the Skillsoft Content dollar retention rate was 99%, and the dollar retention rate on Percipio and dual deployment combined was 103%. 
 We also added several platform features this quarter that further differentiate Percipio in the market in 3 important ways. First, we strengthened our tech and dev offering through the launch of cloud labs that enhance experiential learning. 
 Second, we achieved a number of key milestones that will help customers complete their migration to Percipio. We completed the integration with the Cornerstone Learning management system, allowing for improved content consumption and experience on that platform. We also added 9 additional languages to the Percipio platform, bringing the total to 28, which allows us to better serve the learning needs of our global customer base. 
 And third, later this month, we will be launching instructor-led training events from Global Knowledge within Percipio, allowing us to deliver blended Aspire Journeys that add depth to the learning experience and strengthen our tech and dev value proposition. 
 Now to our third pillar, go-to-market leadership. Our new Chief Revenue Officer, Eric Stine, is off to a tremendous start. We stood up a new customer acquisition team staffed with more than 30 professionals and extensive enterprise sales experience. We integrated the Global Knowledge and Skillsoft tech and dev sales organizations, creating a team of approximately 300 people, serving the certification training needs of CTOs, CIOs, CDOs and their organizations. We also filled a number of key leadership positions in addition to Eric, including a new head of go-to-market operations, a new sales leader for the Americas and a new sales leader for Canada, a market that is performing well for us and showing signs of considerable growth potential.
 Notable customer wins in the quarter include Ricoh, Canon, Ingersoll Rand, Kyocera and Datacom, among others. Our SumTotal business also had some big wins when competing head-to-head against the largest LMS providers in the industry. 
 In short, we have done what we said we would do, and we're just getting started. In the last 3 months, we have refinanced our debt and established a healthy balance sheet, gained scale in tech and dev with the Global Knowledge transaction, assembled a world-class team and Board with a track record of driving growth and value for shareholders and strengthened our leadership and business skills offering by adding a powerful digital coaching platform through the Pluma acquisition.
 Looking ahead, there is more to do as we continue to build on our momentum. With Content, we remain focused on completing the integrated offering for Skillsoft and Global Knowledge and continuing to strengthen our tech and dev business, both organically and through partnerships and M&A. With respect to our platform, we have completed all required technical and process work for our FedRAMP certification and our approach on completion.
 We are also adding integrations and developing features necessary to transition remaining Skillport customers to Percipio. Our top go-to-market priority is our sales force transformation and achieving our growth targets. Operational excellence at this point relates primarily to achieving our synergy targets. With M&A, we will seek to complete additional acquisitions that are accretive to growth and long-term value.
 And finally, we are committed to our culture of leadership and learning built on an inspiring purpose, vision and values. And we'll leverage our products to become a role model for learning and development. With our new leadership team in place and recent improvements to content, platform and go-to-market, we believe we are well positioned to achieve our vision and create substantial value for our shareholders, customers, learners and other stakeholders.  
 I'll now turn the call over to Ryan Murray to discuss our financial results in greater detail. 
Ryan Murray: Thanks, Jeff. I will provide more detail on the second quarter and the first half performance, along with some additional background information about our financials. Before we dive in, I'd like to make 2 quick points about our fiscal year and our terminology. 
 Our reporting period is the fiscal year ending January 31 to align with legacy Skillsoft's fiscal year. Regarding terminology, beginning this quarter and going forward, we will be referring to bookings rather than order intake. While we've not changed the way we calculate this metric, we believe the term bookings is more appropriate for the industry. We still define it as value of contracted sales commitments for the forward 12-month period captured at contract start or renewal date. This is sometimes referred to as annual bookings and is more conservative of a definition than including the full value of all contracts, even those that extend beyond 1 year. We believe our definition of bookings is a better indicator of future annual revenue. 
 Turning now to the consolidated results for the quarter and the first half of the year. Bookings for the quarter were $155 million, up $23 million or 18% compared to the prior year. And first half bookings were $284 million, up $25 million or 10% compared to last year. 
 Adjusted revenue for Q2 was $176 million, an increase of $8 million or 5%. And first half adjusted revenue was $343 million, a decrease of $5 million. We have adjusted revenue to remove the impact of noncash deferred revenue fair value adjustment required under GAAP in purchase accounting and to gross up Global Knowledge reseller fees, which are accounted for on a net basis. Combined GAAP revenue was $106 million for -- in Q2 and $198 million for the first half of the year. 
 In terms of profitability, Q2 adjusted EBITDA was $43 million, an increase of $1 million. First half adjusted EBITDA was $81 million, down $4 million compared to the prior year. Adjusted EBITDA margin for both Q2 and the first half of the year was 24%. Our adjusted EBITDA margin benefited from lower expenses during the first half of the year due to seasonality, where higher expenses in the second half of the year correspond with higher bookings and the relative strength of the Global Knowledge business, which has lower margins. 
 Our combined GAAP net loss was $49 million for the quarter and $87 million for the first half. Given our debt refinancing and paydown and the corresponding lower financing costs, our go-forward annualized cash interest will be reduced to approximately $30 million. In terms of timing of free cash flow as we move forward, our highest billing periods occur in Q3 and Q4. Cash is typically collected in the first quarter after billings such that more cash flow is generated in the fourth and first fiscal quarters. On a long-term basis, we continue to expect approximately 70% of our adjusted EBITDA will convert to free cash flow. 
 Following our debt refinancing, our current gross debt balance is $480 million, excluding original issue discount and issuance costs at an interest rate of 5.5%, comprised of a 75 basis point LIBOR floor plus 475 basis point spread. Our cash balance at quarter end was $90 million. We also have $50 million of capacity remaining on our accounts receivable credit facility. Gross leverage is 2.9x and net leverage is 2.3x based on prior year adjusted EBITDA of $164 million. 
 In terms of individual segments, bookings for Skillsoft Content for Q2 was $64 million, an increase of $5 million or 9%. First half bookings were $103 million, an increase of $6 million or 6%. Our Content dollar retention rate is 99%. And importantly, the combined Percipio dual deployment dollar retention rate is 103%. At the end of Q2, 81% of our ARR was on Percipio or dual deployment. As Jeff mentioned, we expect to have 90% of our Skillsoft Content annual recurring revenue based on Percipio or dual deployment by the end of the fiscal year. As we continue to migrate business to Percipio, we expect to see improving renewal rates. 
 Also, first half bookings for new customers in the Content business through Q2 were $9 million. At the time of the merger announcement, we estimated bookings for new customers to be between $22 million and $30 million for the year, and we believe we are on track to deliver this. We expect to see an increase in new Content bookings throughout the year as our new sales team focused on customer acquisition and continues to build out its pipeline. 
 Adjusted revenue for Skillsoft Content in Q2 was $85 million, a decrease of $1 million. And first half adjusted revenue was $168 million, a decrease of $3 million. The decrease was driven by lower bookings in the prior year. Given the delay between booking and GAAP revenue recognition for annual subscription contracts, a significant portion of bookings flow into revenue in the following year. We expect the growth in current year bookings to support an improving trajectory of GAAP revenue recognition as we move into fiscal year 2023. 
 Bookings for Global Knowledge in Q2 was $64 million, an increase of $15 million or 30%. First half bookings were $129 million, an increase of $23 million or 22%. The Global Knowledge improvement was driven by a shift to digital and recovery from COVID headwinds experienced in the prior year. Global Knowledge also continues to transition from in-person classroom training to virtual training, which has a better margin characteristic. Virtual and structure-led training represented more than 81% of total bookings in Q2. 
 Adjusted revenue for Global Knowledge for Q2 was $61 million, an increase of $11 million or 22%. First half adjusted revenue was $116 million, an increase of $5 million or 4%. 
 Now turning to SumTotal. Bookings were $27 million, an increase of $4 million or 15%. First half bookings were $53 million, a decrease of $3 million. Adjusted revenue was $30 million, a decrease of $2 million versus last year. And first half adjusted revenue was $59 million, a decrease of $6 million.
 SumTotal continues to maintain a strong market position in talent development, servicing customers with complex learning and compliance reporting requirements. In the current year, we had a number of notable customer wins in this business with 20 new logos.
 With that, I'll turn it back to Jeff. 
Jeffrey Tarr: Thanks, Ryan. As you've heard today, we are delivering on our strategic and financial commitments. Based on our strong first half, we are increasing our full year guidance for bookings by $25 million at the midpoint and increasing adjusted revenue by $20 million at the midpoint while maintaining our guidance for adjusted EBITDA.
 Our updated bookings outlook for the year is $690 million to $710 million, and our updated outlook for adjusted revenue is $670 million to $690 million. The increase reflects better-than-expected performance in the first half of the year. Our guidance also considers that bookings are heavily weighted to the fourth quarter. 
 Our outlook for adjusted EBITDA remains unchanged at between $155 million and $175 million. This reflects growth investments as we extend our leadership position in the corporate digital learning industry, a delay in realizing business combination synergies due to the timing of the transaction close, higher-than-anticipated D&O insurance costs and the margin impact of Global Knowledge's better-than-expected performance. 
 In the near term, our primary focus is on top line growth as the most important driver of shareholder value creation. Accordingly, we intend to continue making foundational investments in content, platform and go-to-market to drive bookings and revenue growth. While our near-term focus is on accelerating top line growth, we remain committed to sustaining an attractive EBITDA profile and achieving our long-term margin targets. In so doing, we believe we will deliver value to customers and shareholders and achieve our vision of being the most highly valued provider of learning solutions, preparing the workforce of today with the skills for tomorrow. 
 With that, I'll open the call for questions. 
Operator: [Operator Instructions] Our first question is from Peter Heckmann of D.A. Davidson. 
Peter Heckmann: Nice bookings results. Can you talk about -- within Percipio, did the company achieve the FedRAMP certification? And did that contribute to the bookings growth in the quarter? 
Jeffrey Tarr: Thanks, Peter. The FedRAMP certification has made great progress. We've completed all the work necessary. And so we've moved from what's called FedRAMP Ready to what's now called FedRAMP In Process. So we're in a final administrative phase. It's the last phase prior to FedRAMP certification. So we're on track. 
Peter Heckmann: Got it. Got it. And then did you provide a run rate revenue number for Pluma? If so, I missed it. 
Jeffrey Tarr: No, we did not. Pluma is a high-growth business, but it's early stage. So the contribution in the quarter was immaterial. 
Operator: Our next question is from Katherine Knop of B. Riley. 
Katherine Knop: This is Katherine Knop on for Raj Sharma. We were just looking to know what the adoption rate of Percipio was with federal entities. And then is overall Percipio adoption still on track to be near 100% by the end of fiscal year '22? 
Jeffrey Tarr: So the question was a little garbled, so I missed the first part of it. Let me answer the second part, which I did hear, and then perhaps you can hit the first part again. But we are -- we believe we are on track to hit our target, both to achieve 90% conversion to Percipio and Percipio dual deployment by the end of this fiscal year and to complete the migration by the end of next fiscal year. And your -- the first part of your question, which I just couldn't hear. 
Katherine Knop: Just what was the adoption rate of Percipio with federal entities? 
Jeffrey Tarr: Well, at this point, Percipio is not yet FedRAMP certified. So it's not yet widely deployed inside the U.S. government, that we expect to occur after the FedRAMP certification, which we're expecting later this year. 
Operator: Our next question is from Raimo Lenschow of Barclays. 
Raimo Lenschow: Congrats from me as well. Jeff, can you just talk more bigger picture now? As we are coming out of the pandemic, what are you seeing in terms of customer appetite to refocus on your area, in terms of also Global Knowledge, in terms of going back to classrooms versus kind of staying digital? So what are you seeing out there in terms of like the demand picture and the -- how the industry has changed over the last 1.5 years? 
Jeffrey Tarr: So Raimo, I think you can see in our numbers that we are seeing strong adoption by our customers. We've seen an improvement in dollar retention rate. We're seeing momentum in new sales. The overperformance is most apparent in the Global Knowledge business, primarily because the bookings and the sales cycle and the bookings and the flow from bookings to revenue was just tighter in Global Knowledge, and we're seeing a big lift. 
 We've been pleased with the recovery that we've seen, especially in EMEA. And I'm also pleased that we haven't seen any step backwards in terms of the improvement in mix that we saw during COVID with very strong digital revenue. In fact, north of 80% of the revenue remains digital. So will classroom come back? It may come back at some level. We're not counting on it, and we're pleased that the higher-margin digital revenue is performing as well as it is. 
Raimo Lenschow: Perfect. Okay. And then one follow-up. If I think about Percipio and as you kind of convert the client base over, like how do you think about the 103% retention rate that you have on there? Is that for you the end game? It seems like there's room to upside, but like I just needed to understand your industry a little bit better there. If you could speak to that, that would be nice. And congrats from me. 
Jeffrey Tarr: Thank you, Raimo. My view is the 103% is improvement, and so it's progress, but it's not a point of arrival. And I see no reason why this business can't get to 110%, say, dollar retention rate. And the reason I say that is, first of all, we are just getting started. We've been focused on migrating customers to Percipio. So we've held back on price increases, making migration the first priority. 
 We're just getting started on improving how we work with customers, on investing in product to strengthen our product. We talked about the tech and dev investment, for example. We're also making investment in localization of content. So we're doing things that we believe over time will have a positive impact on dollar retention rate and take us to what I believe is a reasonable best-in-class target, which is the 110% or better. 
Operator: [Operator Instructions] Our next question is from Mark Schappel of the Benchmark Company. 
Mark Schappel: Congrats on the quarter here. I jumped on the call a little bit late, so I apologize if you may have already covered this. But Jeff, could you just bring us up to date where you stand on the Workday integration to Percipio? 
Jeffrey Tarr: Yes. Thanks, Mark. Well, we didn't talk about it on the main call, but I'm happy to give you an update. We were really pleased to see -- I think it was just last week that Workday communicated in writing to its customers its commitment to the Workday integration with Skillsoft and Percipio in particular. And they gave a date of March of next year but with beta customers prior to that. 
 We feel good about that. That's good progress. Workday is not the largest LMS in our customer base, but it is growing fast. And we're pleased that Workday has formally committed to the integration. So that's where we stand. 
Mark Schappel: Great. And then shifting gears a little bit. I was wondering if you could just discuss the company's focus or approach in micro-learning, right? I was wondering if customers are continuing to embrace it that you're seeing. And maybe just give us your thoughts, Jeff, on where you believe the company is competitive-wise with respect to the micro-learning? 
Jeffrey Tarr: Well, we believe we're the leader. We're the -- we believe we're the leader in delivering micro-learning and digital learning in general to the enterprise. Micro-learning drives much higher completion rates, much higher levels of engagement. And as a result, we believe that's one of the many contributors to our success this quarter and why we believe we're positioned for strong growth in the future. 
Mark Schappel: Okay. Great. And then, Jeff, could you just talk a little bit about the plans for the SumTotal business and where you see it fitting in going forward? 
Jeffrey Tarr: Thanks. Well, SumTotal is a very good business. And we're -- I'm really pleased with the improved execution that we've seen in the SumTotal organization. We've been winning more. And we won multiple, actually 20 accounts this past quarter, most of which were head-to-head competition with the leading LMSs in the world. So that's terrific progress. You saw the growth in the bookings, and we feel good about SumTotal. It is part of our portfolio, and we're committed to being very good stewards of that business, which is so critical to our customers. 
Operator: Our next question is from Arvind Ramnani of Piper Sandler. 
Arvind Ramnani: I had a question, I mean, on the overall funding environment for private companies in the education space has certainly increased. Certainly, they don't have the scale in terms of like content or even enterprise relationships that you have. But with that backdrop, like are you kind of looking at this sort of interest -- increased interest in kind of remote learning and digital learning and viewing that as overall positive for your space? Or do you kind of look at some of these, I would say, kind of funds that have -- certainly the large amount of funding and valuation as kind of more of competition in your space? 
Jeffrey Tarr: Arvind, we believe that our lead in the enterprise is sufficiently large and compelling that that's an important competitive advantage. The fact that we also have a healthy balance sheet and a public currency also lends itself to future value creation. Now obviously, it'd be helpful for our multiple to reflect our performance and close that multiple gap with others in the industry. We believe with continued execution, we are going to do that. And we believe that as we do that, we'll have a stronger currency and that will create value for shareowners ultimately. 
Arvind Ramnani: Perfect. Perfect. And just on the quarter itself, and sorry if you already provided color on this, I hopped on a bit late, but you had quite a robust kind of Q2. And then when I look at your guidance, the guidance was largely taken up by the -- by the same beat that you had in Q2. So would you kind of say there's some level of conservatism baked into kind of the full year guidance? Or do you think it's kind of -- it's more realistic guidance that you've provided? 
Jeffrey Tarr: What I'd say to that is we're pleased with the first quarter and the first half and the momentum we're seeing in the business. And I'm also pleased that we were able to raise guidance with the confidence that we're doing. As I look at the second half, I do see momentum in the business. I'm also mindful of the fact that bookings are heavily weighted to the fourth quarter. So we are where we are, and we'll update you as soon as we have more to share and feel great about the business and our ability to grow it. 
Arvind Ramnani: Perfect. And last question for me. Certainly, the last like 18 months, there were a lot of cyclical changes made as a result of the pandemic. But we're entering month 18, and there's still sort of concerns around the Delta variant and whatnot. So as you look out over the next -- I mean, certainly, not looking for guidance, but as you look out over the next 1 to 3 years, has this prolonged sort of pandemic causing some more permanent -- are some of the changes going to be more secular in nature as opposed to some quick fixes as it pertains to digital learning? 
Jeffrey Tarr: I believe that we have moved from this world of classroom first in digital learning in the corporate environment to the world of digital first. And I don't believe we're going backwards. As I talk to customers, I'm hearing many of them have shut down what were corporate university campuses and made a permanent shift to an online delivery. 
 I believe that shift to online delivery also brings with it ease of moving from in-sourced to outsourced and allows our customers to benefit from the scale that we bring to the solution. So I feel great about the long-term prospects of this industry. They're still much headroom for continued market growth and that we'll be a beneficiary of that. So that's my view. 
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to Jeff Tarr for closing remarks. 
Jeffrey Tarr: Super. Well, thanks so much. I first want to thank all the analysts who are on the call and have spent a lot of effort to learn our business and so you can communicate that to your clients. And I appreciate everyone who's here today. 
 I also wanted to just take a moment on this call to thank Ryan Murray, who has taken on the additional role of interim CFO. And this is in addition to his full-time job as Chief Accounting Officer, which he -- a role he's going to continue in. He's been terrific, and I'm looking forward to continuing to work with him. 
 I also want to thank Jim Gruskin for his work as our interim Head of IR. He's moving into a lead role in our corporate development organization, and as everyone knows, that's strategically very important to our business. 
 Gary Ferrera will be joining us as CFO later this month. He's actually here in the building today. Many of you know him, and I'm looking forward to introducing those of you who don't to him very soon. And then finally, Eric Boyer will be joining us as SVP of IR upon the closing of S&P's acquisition of IHS Markit. 
 So thank you, everyone, and I'm looking forward to seeing you back here next quarter, if not sooner. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.